Operator: Good day. And welcome to the Preferred Bank Third Quarter 2015 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Julie MacMedan with Financial Profiles. Please go ahead.
Julie MacMedan: Thank you. Hello, everyone. And thank you for joining us to discuss Preferred Bank’s financial results for the third quarter ended September 30, 2015. With me today from management are Chairman and CEO, Li Yu; President and Chief Operating Officer, Wellington Chen; Chief Financial Officer, Edward Czajka; and Chief Credit Officer, Nick Pi. Management will provide a brief summary of the results, and then we will open up the call to your questions. During the course of this conference call, statements made by management may include forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks, uncertainties and other factors relating to Preferred Bank’s operations and business environment, all of which are difficult to predict and many of which are beyond the control of Preferred Bank. For a detailed description of these risks and uncertainties, please refer to the SEC required documents the Bank files with the Federal Deposit Insurance Corporation or FDIC. If any of these uncertainties materialize or any of these assumptions prove incorrect, Preferred Bank’s results could differ materially from its expectations as set forth in these statements. Preferred Bank assumes no obligation to update such forward-looking statements. At this time, I would like to turn -- to turn the call over to Mr. Li Yu. Please go ahead.
Li Yu: Good morning. Thank you for attending our conference call. I am very pleased to report the continued growth of our Bank. For the third quarter of 2015, our loan and deposits both grew a little over 5% on a linked quarter basis. On the year-to-year basis, loan has grown 20.7% and deposit 15.5%. Although deposit cost is ready to be stable. It did tick up a little bit points in this quarter because of the mix of deposits. Our loan yields continued its downward drift along with the industry trend. Consequently, our net interest margin was compressed. We reported our net interest margin at 4.01%. That was including a $1 million of interest recovery for the quarter. Without that, the net interest margin would have been 3.8%. I’m also pleased to say that the growth at the Bank has more than take care of all that. The most important number of net interest income has grown 19.7% on the nine months basis from last year’s nine months basis and 5% on the linked quarter basis. Looking ahead, our pipeline remained strong. We also believe the fourth quarter payoff activity will continue to be high. Although it is quite difficult to predict fourth quarter activities because of the holiday season but we are confident that the Bank will continue to grow in the fourth quarter. For the quarter, the Bank reported net income per share of $0.57 as compared to second quarter of $0.55, as compared to last year’s third quarter of $0.46. We reported the nine months net income of $23.2 million or $1.60 per share as compared to last year’s net income of $17.7 million or $1.29 per share, which is a 25.1% and 23.8% increase respectively. Again, we will remain conscientious in maintaining a consistent operation in the future. We are very hopeful that next few quarters, our operations will be quite consistent to our present quarters. Thank you. I’m ready for your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Aaron Deer of Sandler O'Neill. Please go ahead.
Andrew Liesch: Hey guys. It’s actually, Andrew on for Aaron. How are you?
Wellington Chen: Hi, Andrew.
Andrew Liesch: So, couple of questions from us. Just first, to what extent did participations contribute to the growth in the quarter?
Li Yu: Wellington, any idea?
Wellington Chen: Less than about $20 million.
Andrew Liesch: Got you.
Li Yu: By the way, Andrew, we participate in, we also participate out.
Andrew Liesch: Right.
Li Yu: So, we are certainly cutting some of the loans we are selling to our foreign Banks for risk -- what could I say, risk management types.
Andrew Liesch: So, I guess some more on those lines then just, were there any larger or outsized credits that contributed to the growth?
Li Yu: Nothing I know of. Do you know anything?
Wellington Chen: No.
Li Yu: It’s pretty large, pretty large volume…
Wellington Chen: Pretty large volume.
Li Yu: Yes.
Wellington Chen: Yes.
Andrew Liesch: Okay. And then just shifting gears to the margin, it sounds like loan yields were under pressured. Deposits costs ticked up a bit. And then, there was quite a bit of excess liquidity. I am curious if you can maybe quantify of the core -- drop in the core margin, how much each of those contributed?
Li Yu: Well, I would like to -- I know the answer, but I think Ed will be more than happy to answer that. Ed?
Edward Czajka: So we’re at 4% for the quarter, Andrew, 3.81% without the $1 million interest recovery. The tick up in cost of funds contributed about 5 basis points to the core decline from 3.97% to 3.81% on a linked quarter basis and then the rest of that was due to loan yields and liquidity.
Andrew Liesch: Okay. And then just if you had the numbers, just do you know what the average loan yield in the quarter was relative to the prior quarter?
Edward Czajka: Average loan yield in the quarter was 451, prior quarter was 450, although those are with those extra items in those quarters, Andrew. So I don’t have those on a non-adjusted right now. You give me a 30 seconds, I can probably calculate it, but I can give it offline.
Andrew Liesch: Okay. Thank you. I appreciate it. Those are all our questions.
Operator: [Operator Instructions] There are no further questions at this time.
Li Yu: Thank you very much. In closing that I would like to still report that we think we’re very close we hope in dealing regulatory approval for our proposed merger of United International Bank in New York, okay. And if in times we would like to close it later on at end of November, okay. This is for information. And thank you very much. And we appreciate you attending this conference. Thank you.
Operator: This conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.